Operator: Good morning. My name is Lorie, and I will be your conference operator today. Welcome to Luxfer’s 2020 Fourth Quarter and Full Year Earnings Conference Call. All lines have been placed on mute. After the speakers’ remarks, there will be a question-and-answer session. Now, I will turn the call over to Heather from Luxfer. Heather, please go ahead.
Heather Harding: Thank you, Lorie. Welcome to Luxfer’s fourth quarter and full year 2020 earnings call. We are happy to have you with us today. I am Heather Harding Luxfer’s Chief Financial Officer; and with me today is Alok Maskara, Luxfer’s Chief Executive Officer. On today’s call, we will provide details on our fourth quarter and full year 2020 performance as outlined in the press release issued yesterday. Today’s webcast is accompanied by a presentation that can be accessed at luxfer.com. Please note, any references to non-GAAP financials are reconciled in the Appendix of this presentation. Now before we begin, a friendly reminder that any forward-looking statements made about the company’s expected financial results are subject to future risks and uncertainties. Please refer to the Safe Harbor statement on Slide 2 of today’s presentation for further details. Now, let me turn the call over to Alok.
Alok Maskara: Thanks, Heather, and welcome, everyone. Thank you all for joining us today. To start with, I want to thank our employees for their continued focus on serving their customers while managing the inherent challenges of the pandemic. I am grateful to all of them for delivering strong cash and margin performance throughout the year, while maintaining steadfast adherence to safety protocols as we continue to navigate the COVID pandemic. I want to highlight that as part of our transformation plan, we intend to divest the majority of our aluminium operations, including Superform. We are in active dialogue with potential acquirers for these valuable assets and plan to complete the transaction over the next 12 months. The divestment of these businesses would lead to about 200 of our employees, which into a new employer. And I want to personally thank each and every one of them for the years of service to Luxfer. I appreciate the patience and dedication of these employees as we work through this process, while continuing to focus on our customers first. Given our intention to divest these operations, all the numbers in our press release and presentation exclude the results of these operations as per the accounting guidelines for discontinued operations. Before I review you our results, I want to highlight three key messages. First, we delivered solid Q4 earnings. While some of our end markets remain challenge, we experienced sequential improvement in sales, despite typical Q4 seasonality and we realize growth in several new products. Second, we generated strong cash flow further bolstering our already robust balance sheet. This gives us greater opportunity as we invest in organic growth enablers and pursue potential inorganic opportunities. Third, we executed our transformation plan with cost savings exceeding expectations, while making meaningful progress on initiatives to drive growth through portfolio changes, new product development and commercial excellence. I will provide more details on these themes and our CFO, Heather Harding will then review our financial performance in greater depth. Now please turn to Slide 3 for a summary of our fourth quarter financial results. During the fourth quarter, total sales of $82.1 million were fairly flat on a year-over-year and we saw sequential improvement of 5.7% from Q3. Fourth quarter adjusted EBITDA of $13.8 million increased 21%, primarily driven by cost actions. Our adjusted diluted EPS for the fourth quarter was $0.27 and increase of 35% from the prior year. Full year core sales declined 11.3% to $324.8 million as our sales were negatively impacted by the pandemic. Our full year adjusted EBITDA of $53.9 million declined 19.7% and the resulting adjusted EPS was $1.3 down 30%. Our cash flow in 2020 increased significantly as we generated $41.3 million of free cash flow reversal from the 2019 outflow of $8.1 million. The cash flow improvement was driven by lean working capital improvement and significantly lower restructuring cash outlay. Strong cash flow enabled us to reduce our net debt to $51.9 million compared to net debt of $81.2 million at the end of 2019, while we also returned $13.6 million back to shareholders as dividends. Our net debt-to-EBITDA ratio improved to one-time at the end of the year. Our balance sheet remains strong financial and strategic flexibility. Now please turn to Slide 4 for an overview of how we are strategically reshaping our product portfolio. After a thoughtful review of our portfolio of businesses and the future trajectory of Luxfer, we have concluded that it is in the best interest of our shareholders, employees, and customers to divest most of our aluminium assets. This will enable us to focus our strategic efforts and capital to grow the company. The remaining portfolio has strong margins and growth profile with a narrow focus on high-performance Magnesium Alloys, Zirconium Catalysts and high-pressure composite Gas Cylinders. This divesture will impact three of our gas cylinder operations including our Superform location in UK, our aluminium cylinder operation in Graham, North Carolina, and our Superform location in the U.S. We are in active discussions with potential buyers for these valuable operations and plan to close the transaction in 2021. The remaining gas cylinder sites are involved in the manufacturing of innovative cylinders, composite cylinders and systems, all of which are integral part of Luxfer’s future growth profile. Financially, the discontinued operations reduces Luxfer revenue by 14%, but has negligible impact on our profits for 2020. Our profit margin and our return on invested capital both increased by 200 basis points. The revised Gas Cylinder segment represents 44% of total Luxfer sale and 40% of total Luxfer profits at the end of the year 2020. Within the Gas Cylinder segment, one-third of our sales were from CNG and Hydrogen storage products, which represents a significant growth opportunity for us. As a result of these changes, there will be increased management focus on driving organic growth and acquisitions to accelerate shareholder value creation. Please turn to Slide 5 for an update on our transformation plan. We are successfully executing our transformation strategy with discipline and are creating incremental value for our shareholders. The simplification phase has expanded our investor base by streamlining our financial reporting and governance, while strengthening our balance sheet. Our operations have also been substantially simplified and post divestment of the aluminium operations, Luxfer will have 10 core operating sites compared to over 20 operating sites three years ago. As part of the transformation plan, we have established a higher performance culture with a focus on continuous improvements. Our productivity projects are on track to deliver $24 million in cost savings by the end of the year, in addition to reducing our historical annual capital spend by $6 million. The high-performance culture and lower fixed cost helped us navigate the COVID pandemic and positions us well to benefit from future recovery. Now, the focus of our transformation plan is to drive growth both organically and through value creating acquisitions. We have laid the groundwork for successful organic growth by rebuilding our new products pipeline and by establishing commercial excellence. In addition, our Luxfer business excellence standard toolkit and healthy balance sheet enable us to generate value through bolt-on acquisitions. Please turn to Slide 6 to review progress on our new product development process, a core component of Luxfer business excellent standard toolkit either disciplined totally based new product introduction process based on lean continuous improvement and customer first. While progress was slower in 2020 due to COVID, our efforts are gaining traction as evidenced by 8 point increase in our revenue from new products from 9% to 17% over the past three years. We expect this number to continue improving, and we are targeting new products introduced in the past five years to make up over 20% of our revenue by 2022. Examples of our new products contributing to growth this year include our nanotechnology based zirconium solution or gas particulate filters, our innovative self heating unitized group rations, and our recently introduced non-limited life cylinders for European medical applications. To accelerate new product introduction momentum, we are increasing talent investment with plans to further strengthen the technology team and leadership at all our business units. Some of our recent growth investments have been in the area of alternative fuel CNG and Hydrogen, which is discussed in greater detail on Slide 7. Most divestment of the aluminium operation 33% of Gas Cylinder segment and 15% of total Luxfer sales will come from alternative fuel cylinders use for CNG and Hydrogen storage. Our sales of alternative fuel cylinders have been growing at an annual CAGR of about 20% for the past three years due to share gain and industry growth. The industry growth projections for near-term remains robust driven by wider adoption of Hydrogen and CNG and we are confident in our strong competitive value proposition. Our focus remains on heavier vehicles such as city buses and commercial truck fleets. In this target segment, conversion from traditional diesel to low and zero emission vehicles is driving rapid growth. Luxfer has a long established position in this industry and currently serve this end market from our state-of-the-art facilities in California, Canada, UK, and China. We will continue investing to expand our capability and capacity for these lightweight high-performance type 3 and type 4 gas cylinders. Our new product pipeline includes type 4 Hydrogen storage products to meet demand for this rapidly growing end user market. While the drive towards clean environment and emissions is fueling the growth of alternative fuel, it is not the only global mega trend that is enabling growth for Luxfer products and solutions. Please turn to Slide 8 for an overview of other global mega trend that are shaping Luxfer’s future growth. The key mega trend shaping Luxfer’s future growth are light weighting, safe and healthy lifestyle, and clean environment and emissions. Luxfer’s historic growth has been driven by the trend towards light weighting and we believe that this trend will continue for many more years. Our magnesium alloys play a critical role in reducing the weight of key high temperature, high performance, aerospace and industrial components. We are also the world leaders in lightweight high pressure composite cylinders for SCBA and other similar applications. The lighter nature of our product enables firefighters and first responders to be ergonomically safe while carrying sufficient oxygen for their difficult tasks. Safe and healthy lifestyle is also shaping our growth profile as demand grows for healthier meals ready to eat using our flameless attraction heater technology. Additionally, our zirconium product using pharmaceuticals and water treatment applications and our portable medical oxygen cylinders also benefit from the global trend towards safe and healthy lifestyle. In addition to shaping the growth of our alternative fuel products, the mega trend towards clean environment and emissions is also accelerating the growth of our auto catalyst product line. Part of our auto catalyst product line is our newly introduced gas particulate filtration product, which is being adopted in multiple platforms to meet the increasingly stringent environmental regulations. As a result, we believe that our auto catalyst content per vehicle will continue increasing for the foreseeable future. Now, let me turn the call over to Heather Harding, Luxfer’s Chief Financial Officer for detail on our fourth quarter and full year financials.
Heather Harding: Thanks, Alok, and good morning, everyone. Again, thanks everybody for joining us. First, I’d like to review our sales performance by end market on Slide 9. As a reminder, our sales can be classified into three key end-user market, Defense, First Response, and Healthcare, Transportation, which is a combination of Alternative Fuel, Aerospace and Automotive, and General Industrial. In the Defense, First Response, and Healthcare end market, quarterly sales declined by 3%. We saw increased demand for our disaster relief products, but that was also by a decline in our products for first responders, which is firefighters and medical personnel. Sales in transportation grew 20% in the fourth quarter, driven by strong demand for hydrogen and compressed natural gas products. We also experienced growth in our auto catalyst products driven by industry recovery in the lighter adaption of gas particulate filtration. Weakness in aerospace was all set by growth in other product lines. Sales in the General Industrial end market declined 11%, which is a meaningful sequential improvement from the 21% decline in Q3. The sales decline was broad-based and impacted most of our industrial products. However, we were encouraged by the sequential improvement in sales in order rates. Now please turn to Slide 10 for a summary of our fourth quarter P&L results. As a reminder, all the information presented today excludes the results of discontinued operations. We have provided detail of the through statement activity in the appendix of this presentation, and in our 8-K filings. Fourth quarter sales of $82.1 million were fairly flat to prior year, which favorable FX and price offsetting volume decline. Growth in transportation fueled by alternative fuel sales was offset by the COVID impact in industrial products. Consolidated adjusted EBITDA for the quarter of $13.8 million improves 21.1% versus the prior year. Despite the volume decline, the company executed on the transformation plan and delivered approximately $3 million of net cost reductions in the quarter. Overall, we made great progress on cost savings in 2020, finishing its challenging year with solid results. Let’s look at our product segment results on Slide 11. Elektron sales of $47.2 million increased 1.3% from the prior year. The sales growth was primarily due to stronger sales of Defense, meals ready-to-eat coupled growth in auto catalysis products. EBITDA increased 24.7% to $9.1 million due to higher sales performance and net cost savings realization. Gas Cylinders segment sales declined 2.2% to $34.9 million, which COVID negatively impacted industrial products, while alternative fuels posted double-digit growth. Despite the sales decline, EBITDA of $4.7 million increased 14.6% from the prior year as cost reductions offset the lower sales volume. Now let’s turn to Slide 12 for an update on the financial impacts of the transformation plan Alok discussed earlier. I was focused on cost reductions in waste elimination, has resulted in $21.5 million of net cost savings through the end of 2020, which represents the third full year of our transformation plan. In addition to cost reductions, the smaller manufacturing footprint has reduced our annual operating capital requirements by approximately $6 million from historical levels, further improving our cash generation. We are confident we will deliver the remaining $2.5 million in savings from our committed $24 million of net cost reductions in 2021. We then expect to continue our ongoing remanufacturing focus, including automation projects, with a goal to delivering around 2% annual cost productivity. Now let’s look at our key balance sheet and cash flow metrics on Slide 13. We ended the fourth quarter with a stronger balance sheet. Our net debt improved to $51.9 million, leading to a net debt to EBITDA ratio of 1 time. We improved fourth quarter operating working capital was $71.8 million with the resulting operating working capital as a percent of sales of 21.9%, which was better than our prior year end level of 23.2%. Going forward, we’ve targeted an operating working capital as a percent of sales range of 20% to 22%. We generated $41.3 million in free cash flow for the year, using approximately $4 million in cash for restructuring activities related to our transformation plan. On a trailing 12-month basis, we delivered 15.2% ROIC from adjusted earnings. Our balance sheet is solid. We’re generating significant free cash flow and we remain well positioned for strong cash conversion going forward. Let’s take a look at our longer term performance metrics on Slide 14. Before 2020, our top line growth averaged 3% from 2016 to 2019. Due to the COVID impact in 2020, our revenue performance over the past four years is flat. However, our cost reduction efforts are a primary driver of the 4% annual EBITDA growth over the same time period. Results in EPS have grown over 10% per year with an average EBITDA margin over 17%. These results showed the favorable impact our transformation plan has delivered and its markets recovered and we returned to growth in 2021, we’re well positioned to create additional value for our shareholders. Now I’d like to review our capital allocation priorities in Slide 15. We generate strong cash and expect to average 100% conversion to net income. We’re in great financial position with a strong balance sheet and ample liquidity to take further steps to drive profitable growth. This includes strategically evaluating our business portfolio and identifying inorganic options to drive additional shareholder value. Our first capital allocation priority will be creating value through internal execution, which includes funding new product innovation and talent development. We have funded our transformational cost saving initiatives with a cash outlay of approximately $37 million through the end of 2020 and we expect to spend the remaining $11 million of cash in 2021. We expect to return to a normal capital spending range of $10 million to $12 million in 2021, which is higher than our $8 million 2020 spend, but lower than our historical $18 million average. Next, we remain open to strategic acquisitions to supplement our organic growth. Our focus will be on businesses that need our established strategic filters and financial criteria. Lastly, we’ll continue to return cash to shareholders via dividend. As a reminder, we’ve paid out over $93 million in dividends since 2013, including $3.4 million in the fourth quarter. We’re maintaining our current dividend program and we’re pleased to announce our board has authorized $25 million share repurchase plan. As noted in our press release, we are providing guidance for 2021 and you can see our key assumptions on Slide 16. For 2021, we expect full year revenue growth of 3% to 9%, which includes approximately 3% to 4% of favorable currency impact as the British pound continues to strengthen versus the dollar. We expect Defense, First Response, and Healthcare products to grow mid single digits with strong MRE and military sale. Transportation products are expected to grow low double digit driven by alternative fuel, including hydrogen and new products, such as gas particulate filtration. We expect industrial products to grow mid single digit. This delivers EPS in a range of $1.05 to $1.25. Looking at the timing within the year, we expect the first quarter will be sequentially flat to Q4 of 2020, given the current currency profile in some disruption from Brexit. We will continue our execution on cash initiatives targeting a 100% free cash flow conversion for the full year, excluding restructuring. Given our typical seasonality, our Q1 and free cash flow is weaker than other quarters. With our strong balance sheet, we remain confident in our ability to successfully navigate through this recovery year and be well positioned to capture growth. Now I’ll turn the call back over to Alok for a wrap up.
Alok Maskara: Thank you, Heather. Before I wrap up, I wanted to update you on our ESG efforts as we published our first ESG report after our last earnings call in November, 2020. This report highlighted key stakeholder interest, including our environmental goals, social statistics and governance structure. We realize that non-financial reporting is important to our stakeholders, and we are committed to providing transparency around our sustainability activities. As a result of our recent efforts, our ESG scores from ISS have improved significantly over the past few months. Our environmental score has improved from nine to four, our social score has improved from six to one, while our governance score remained at a strong two. Please turn to Slide 19 for a wrap up. Let me wrap up by recapping that we serve attractive niche market with proprietary products and technology. Our transformation plan has delivered results and will continue to make a positive impact for the next few years. After the transformation plan is complete, we have plenty of runway to create even more shareholder value by deploying the Luxfer business excellence standard toolkit to drive operational improvement and to accelerate growth. Once again, I want to thank all our employees around the world for safely operating our facilities, while maintaining our commitment to always putting our customers first. Thank you for listening. We will now take questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Chris Moore of CJS Securities.
Chris Moore: Hey, good morning guys.
Alok Maskara: Good morning, Chris.
Chris Moore: Good morning. Yes, maybe just start with alternative fuel, obviously, a very exciting area. Just trying to get a feel for, how competitive this market is. Worthington, it sounds like just announced the product that they’re going to do in hydrogen space. Are there a couple of people that you see regularly or just kind of your thoughts on that competitiveness?
Alok Maskara: Sure. So I think from our perspective, we are very focused on heavy vehicles and there are a lot of competition in the lighter vehicles and the smaller cylinder space. But in the heavy vehicle, I think, it’s – our position is pretty strong. I don’t really want to talk about like in our competition, but I would say Hexagon and Worthington are great companies, who offer similar products in certain markets of ours. Our differentiating value proposition is, we have been in this industry a very long time have made both Type 3 and Type 4 products, our reliability and our long-term reputation is a huge asset companies choose, where to buy their products from. Also our focus – narrow focused on heavy trucks and buses is very, very helpful to us versus our competition. So we do see competition, there probably be more, but it’s a very exciting industry and we really like our position here.
Chris Moore: Got it, helpful. And commodity prices have been very volatile recently, your key inputs have, I guess, aluminum and magnesium and zircon sand and some rare earth minerals. Any concerns there and how does your supply chain overall look like?
Alok Maskara: We likely the lower commodity prices versus higher. So from that perspective, yes, there’s some watching that we do constantly, but overall, our standard operating mechanism is that we are able to pass on higher commodity pricing within sort of 60, 90-day delay timeframe. And while the aluminum price has taken recover from the pandemic, we think they’re still in the manageable range. Zirconium, we have a fairly – we can a long supply chain and very well established sourcing methods. And on magnesium, we typically do back-to-back locking based on our contracts with governments and others. So yes, I mean, we watch it constantly. We would maintain our view that over three to six months timeframe, our inflation versus pricing would continue to offset each other. So we’ll keep watching, but no immediate concerns here.
Chris Moore: Got it. Last one for me. Is there any SoluMag in your fiscal 2021 guidance?
Alok Maskara: We put a small amount, which is kind of similar to what we had in 2020. We’re not making any growth in for SoluMag in 2021.
Chris Moore: Got it. I appreciate it. I’ll jump back in line.
Alok Maskara: Thanks, Chris.
Operator: Your next question comes from the line of Craig Irwin of ROTH Capital Partners.
Craig Irwin: Good morning, and thanks for taking my questions. Hey, Alok and Heather. I wanted to start with transportation right, the 19.5% growth in the fourth quarter of 2020 is a strong number. You do say that oil fuel was double-digit growth. But maybe can you help us understand a little bit about what drove that that strength there. Was there may be a channel fill from the particulates product for automotive catalysis that you’re launching this year? Was there something else maybe that outperformed in there that gave you such a strong result?
Alok Maskara: We think it’s a sustainable and not any specific factor, so there was no inventory fill or anything else that we can go back. But do keep in mind that Q4 2019, we did have some disruption related to one of our customers in alternative fuel, but [indiscernible] largest driver of growth alternative fuel.
Craig Irwin: Okay, excellent. So over the course of 2021, I think you guided for mid single digit growth in the segment. Can you maybe help us understand the contribution that you’re expecting from the new particulates product? Is this likely to be a material contribution? Will we see sort of more than a $10 million or $20 million uplift to catalysis revenue. How much proportionately is the content per vehicle increasing? Are we seeing a potential double, 15%, 25% at any color you can offer?
Alok Maskara: Sure. So the largest driver of growth for 2021, Craig, will remain alternative fuel. And that’s the one that gives us the confidence of guiding it kind of low double digit range for transportation in 2021. The content per vehicle for gas particulate filtration and auto catalyst is increasing in the range of 20% to 25%, no, it’s not double. But we do expect that to add to good numbers in 2021, especially given that 2020 was a really bad year for automotive. But if I take a step back, I mean, both of these products, including the auto catalyst gas particulate filtration, our new Type 4 hydrogen cylinders, and obviously continued traction on our G-Stor products for CNG and hydrogen. All three will contribute meaningfully, but alternative fuel and hydrogen will be the number one driver.
Craig Irwin: Excellent. I wanted to ask a question about some of the content on your Slide number 7, right, future capabilities, you’re pointing to new opportunities in Asia. You’ve done a tremendous job getting down to 10 facilities from 20 over the last couple of years, restoring the growth profile and the profitability of the company. Can you maybe talked about where you are in the decision process on potentially building something in Asia. And is this going to be strictly CNG and hydrogen as you suggest in the slide. Or are there may be other opportunities and any CapEx related to this in your guidance for this year.
Alok Maskara: Yes. Great question, Craig, appreciate it. So we’ve been in China for a while, but recently started composite cylinder manufacturing in China. And that’s what we highlighted on Slide 7. I mean, right now our focus remain all our composite cylinder end market, including SCBA, including aviation, including alternative fuel. We are just starting on that journey, maintaining our focus on heavy vehicles as we have done in the past. There is a CapEx requirement, I mean, a large portion of the CapEx guidance we give land up going to alternative fuel just like it did in 2020. But it’s all baked in our current numbers, nothing incremental beyond that. And that’s because we have capacity globally that we can move around and capability that we can deploy globally as needed.
Craig Irwin: Understood. Congratulations on the strong result. I’ll hop back in the queue.
Alok Maskara: Thanks, Craig.
Operator: Your next question comes from the line of Sarkis Sherbetchyan of B. Riley Securities.
Sarkis Sherbetchyan: Hi, good morning, Alok and Heather. Thanks for taking my question here.
Alok Maskara: Good morning, Sarkis.
Sarkis Sherbetchyan: Yes. So just want to quickly touch on the divestment of the aluminum product lines and including Superform. I think if I look at the discontinued sale offline, a little over $50 million for this year and very small kind of EBITDA contribution. I guess, as we strip out this line – business line from the financials and we look at the business going forward. Can you maybe help us understand what the incremental contribution margin will be pro forma as if you were have – to have divested that business and as we think about sales growth and operating leverage on your infrastructure.
Heather Harding: Hey, good morning. Sarkis, it’s Heather. I’ll take that one. So when you look at our mix, certainly as Alok mentioned, the new Gas Cylinders segment, I think represented about 44% of our sales for the total company. Going forward, obviously, the Elektron margins will drop through around that 30% or so level. And we would expect Gas Cylinders sale to drop through approximately around 25% going forward. Obviously, with discontinued ops, there would have been some profitability that would have been included in 2021 when we built our original budget some time ago. So we’d expect that’s probably in that $2 million range that will not occur in our continuing operations.
Sarkis Sherbetchyan: Great. Thanks for that, Heather. I guess points about also is how does the free cash flow profile change kind of excluding the discontinued ops and looking at the business kind of going forward. Does that improve? Does that stay similar? Just kind of help us understand that.
Heather Harding: Yes. When I think about the free cash flow, certainly you can see on our statement. There was a minimal impact from the discontinued ops in terms of free cash flow. So moving forward, our guidance remains the same. We still expect to convert a 100$ of net income excluding restructuring. It really doesn’t change that that profile much going forward.
Sarkis Sherbetchyan: Got it. And I think look, you mentioned building the business organically and through some value creating acquisitions, maybe if you can help us understand the areas you’re looking at, are there certain end markets that you believe you need to go out and buy versus build on your own? And if you can maybe comment on potential geographies that you think you might need to fill holes and just any color there would be extremely helpful.
Alok Maskara: Sure. And there’s a broad range of opportunities we are targeting when it looks at acquisition. I think the strategic filters as laid out by Heather are all of the right ones. And to answer your question more directly Sarkis, I mean obviously we are looking to improve our growth profile. So we would look for acquisitions on areas such as alternative fuel, where if we believe we can get additional capabilities and capacities at the appropriate valuation that would be something we look at. Clearly Asia and emerging markets remains geographical expansion opportunity for us given how little of our sales currently go in that region. So we look at that as a greenfield versus brownfield or an acquisition. So I think that remains another priority for us. And then finally, things like aerospace and defense, I know it’s in a tough spot right now, but we are in the business for long-term and we remain confident that like if there is something it’d be appropriate valuation, given the market sentiments and the appropriate synergies that come to us, we wouldn’t shy away from that either. We’ve been trying to focus on things where we can create operating synergies, things that improve our growth profile, including like growth driven by mega trends, growth driven by geographical expansion, there’s is a broad basket. And we’re kind of pleased with how quickly the M&A market has rebounded compared to what it was last year.
Sarkis Sherbetchyan: Got it. That’s super helpful. And I think I’m just to piggyback on the point you made regarding aerospace and defense, it seems like that’s an area of opportunity given the specialty materials that that industry consumes. And would you say that there’s a particular maybe product set that could be attractive or add to your capabilities that you internally don’t have? I mean is that more of like a material, a particular type of materials specialty that you’d like to buy or further bolster?
Alok Maskara: Yes. So I mean we obviously have very strong position and something like magnesium, which is a niche material, small market size, but very strong position. If we looked at similar thing, whether it’s getting into composites, whether it’s getting into other speciality metal alloys that would be our focus. So while I wouldn’t go down the periodic table yet, we’d be looking at niche materials, alloys, composites that allow us to leverage our existing position in aerospace.
Sarkis Sherbetchyan: Fantastic. Thank you. I’ll hop back in the queue.
Alok Maskara: Thanks, Sarkis.
Operator: Your next question comes from the line of Michael Leshock of KeyBanc Capital Markets.
Michael Leshock: Hey, Alok and Heather, good morning.
Alok Maskara: Hey, good morning.
Heather Harding: Good morning.
Michael Leshock: First, I wanted to get your expectations on defense going forward. In what changes you’ve seen from the new administration. I know it’s early on in generally a lumpy business as well, but wanted to get any color on what you’ve seen there thus far and maybe expectations going forward.
Heather Harding: Yes, Michael. I’ll start on that one. Typically for us, ignore anyone’s personal politics, we’re certainly glad the election is behind us. It creates obviously more certainty. And frankly, in our experience, typically, post-election years tend to be a little better in terms of military, defense, sales. So that’s partly some of our thinking when we gave our guidance in terms of kind of mid-single digits, I think on defense and first responders sales. So that’s sort of our view of defense post to do administration. It’s hard to say depending on policies and all kinds of other legislative actions, but at this point we typically like the year after an election compared to election year disruption.
Michael Leshock: Got it. And then what were the primary drivers of the cylinders revenue decline year-over-year, despite the growth that, that you mentioned in alternative fuels there?
Alok Maskara: A lot of the – I’ll take that one. Lot of the cylinders still go into what I would call like discretionary medical or up, where we had elective procedures getting delayed last year. So I mean there was clearly an impact of that. There’s also a lot that still goes into industrial where it’s for a speciality industrial gases and that was slow as well. So those would have been the two primary driver. And even SCBA, which you would see from others was slightly lower given a lot of the firefighters and others. They put their budget towards other activities that help them immediately fight COVID versus upgrade their equipment. So nothing concerning, I would say, which is driven by the macro conditions last year.
Michael Leshock: Okay. And then one more question on SoluMag, if I could. I know that right before the oil collapsed last year, you were rolling out some new products targeted at freshwater applications in the Permian. I’m just wondering, did you see – did you begin to see sales there before we saw the oil price collapsed and all the CapEx budgets being slashed? Or is that not something that was very meaningful in 2020?
Alok Maskara: We did see good penetration for the new product and actually it was very successful all the field trials. And we remain very confident of our market value proposition in that sector. The recent sales that we have had although at a low level are more geared towards our new products and geared towards the Permian Basin versus the Bakken, which is where our historical presence has been. We have further invested in and maintain and increase investment in business development in that area. Now given how badly we were born that the oil price and the fracking collapsed from 2018 to 2019, and then 2019 to 2020, we don’t want to beacon any upside yet on that. No, at oil price 60, I’ve a lot more confident about the future of SoluMag than I was when it was negative then. We just want to make sure we do the right thing, stay with our customers and maintain our strong, strong value proposition here.
Michael Leshock: Got it. And then just lastly for me, can you breakout how much automotive business makes up your transportation silo?
Heather Harding: Yes, I can take that one. So it used to be certainly, pre-divestment and everything like that, that it was a third, a third, a third almost pretty evenly split in our transportation segment between AF, aero and auto. Now I would say, automotive is certainly more like 20% or so it’s quite a bit lower given the divestment activity.
Michael Leshock: Got it. That’s helpful. Thank you.
Operator: An encore recording of this conference call will be available in about two hours. Telephone numbers to access the recording will be available on the Luxfer website at www.luxfer.com. Thank you for joining us today. The next regularly scheduled call will be in April of 2021 when the company discusses its 2021 first quarter financial results. You may now disconnect your lines and have a wonderful day.